Operator: Good afternoon, everybody. Welcome to Parks America's Third Quarter Fiscal Year 2025 Earnings Call. My name is Doug Jaffe, and I will be your operator for today's call. Today's call is being webcast and recorded. Before we begin, I'd like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities law. These statements may involve risks and uncertainties that could cause actual results to differ from those forward-looking statements. For a more detailed discussion of those risks, you may refer to the company's filings with the Securities and Exchange Commission. In addition, we may reference non-GAAP financial measures and other financial metrics on the call. More information regarding our forward-looking statements and reconciliation of non-GAAP measures to the most comparable GAAP measures is included in our Form 10-Q. Last Friday, we filed our quarterly earnings release and our 10-Q with the SEC. In our quarterly earnings release, you will find summary information related to our segment financial results. We encourage all of our shareholders to read our complete 10-Q. I will now turn the call over to our President, Geoff Gannon, for opening remarks, which will be followed by our Q&A.
Geoffrey Gannon: So for this quarter, I just wanted to update on the reverse stock split because I promised to give the final numbers on that. So the total cost that was funded to the transfer agent was $141,168. That reduced the number of shares out by 3,663 shares, which had the effect of being a stock buyback of 0.5% of the shares outstanding at an average price of $38.40 per share. And any other information about that, you can find in the 10-Q, but that basically gives you an idea of what effect it had on the number of shares out and what it cost. And that's it for prepared remarks.
Operator: Okay. for our Q&A, we're going to first begin by responding to some questions that have been previously submitted via e-mail. We will then take any follow-up questions from live participants on today's call. [Operator Instructions] Now for our first question from a shareholder by the name of Ed. I wanted to congratulate you on the profit in the first quarter. And it's a 3-pronged question regarding ticket prices. The first part of it was what was the percent increase in ticket prices at each of the 3 parks since present management took over. The second involves how that has changed the percentage attendance -- the percentage change in attendance, either upwards or downwards since the prices were raised to get an understanding of how that has impacted the attendance. And then finally, if you can discuss if there's more room for increases in ticket prices without hurting attendance.
Geoffrey Gannon: Sure. So the first thing, this will be kind of a longer answer because I want to clear up some things. The first thing is though, although we talked about changing ticket prices, generally for the business per capita spend is more significant. And sometimes you can have a higher ticket price, but lower amounts of per capita spend on other things. We have gift shop, we sometimes have food service at some of the parks. We have animal feed, we have encounters. And then on the other side, sometimes you will have lower ticket prices or even certain promotions that actually are profitable because of the associated spend on other things. So it's actually very easy if you go to the 10-Q to get an idea of whether per capita spending is going up or down because we give you both revenue change for the parks, so park revenue, not including animal sales. And then we also give you attendance change. So if you look at that for this most recent quarter, you have Georgia, you have Missouri, you have Aggieland. We talked about price increases at Aggieland. Aggieland actually had rounded off. It had a revenue increase of 46% and attendance up 44%. So very, very, very minor increase in per capita spend, right, because the difference is almost insignificant there. On the other hand, Georgia was down in terms of revenue by 9%, but attendance was down 16%. So even though we didn't talk about any price increases in Georgia or anything like that, you can see that per capita spend increased there. And then Missouri was the only park that had the reverse where attendance was up 7% and yet the park revenue was down 2%. The reason for that, there's a few that can happen. One is mix, just the guest mix. If you have more field trips, that's the main thing that would cause it to decline in any period. And then weather is the other one, which throws that off sometimes because if we have different business during the week versus weekends. I can't give detailed information about since present management took over just because of when that was. So we have the 9 months there and we have the quarter. Obviously, I took over a year ago, but not -- that was before the beginning of the next fiscal year. So I can't really do a year for you that includes both fiscal years. In general, with Aggieland, what you could see last quarter and this quarter is that there hasn't really been much of a difference in terms of revenue really outstripping attendance growth. So not a lot is attributable to a price increase. Now you could argue attendance would have been up more or you could argue anything that way. But the yield on has basically been the same where you can see that those 2 numbers are running similarly. I'd expect that probably in the future at some point, you'll see those diverge, but they haven't yet. So in other words, I think that at some point, you'll see revenue hold up better than attendance because of the price difference, the price being higher. And then is there room for increasing ticket prices without hurting attendance? It depends. It's not the most significant competitive aspect. So we talk about competition. I do want to stress that competition in this industry is somewhat different than other industries you might be familiar with. When we talk about, say, Georgia, that we have increased competition, what we generally mean is that a park that did not exist before is now located closer to guests, potential guests than we are. And so proximity to the guest physically and drive time is the biggest competitive factor. Then there's also things about how effective awareness and marketing is and also in the long run, how good the guest experience is. I would say that while initially price increases in the month that we make them may not have an immediate effect on attendance that we can measure, it's just true in general that you will get lower attendance if you have higher prices. However, it tends to be the case, it's not a perfect rule, but it tends to be the case that if we increase a ticket price that you see it go up by x percent or we decrease it and you see it go down by x percent in terms of the published price, it will not affect our per capita spend by the same amount. There will be some sort of offsetting factor usually in the long run that if the more people spend on tickets, the less they want to spend on everything else, the less they spend on tickets, the more they are willing to spend on other things while they're in the park. So it's good to think of the park as being an experience that they have, sort of a box that they go into and then they can spend on all different things over a period of a couple of hours and then they come out of that. And although we, compared to some attractions do get a lot from tickets, compared to most industries, we are not a single price type thing. We're making profit off of a variety of different things, and it's really per capita that matters. So I would compare the revenue and the attendance for every period -- a park revenue and attendance for every period and see how much they diverge by. And like I said, although we talked about Aggieland being due to higher prices, those numbers are really actually very close recently. So that kind of just indicates general demand for people wanting to be at Aggieland last quarter and this quarter and not so much just that there was some huge price change. If it was just driven by price change, you'd see revenue up a lot and attendance not. That would be what it would look like if it was purely driven by price.
Operator: Okay. Terrific. Next up, we have a shareholder by the name of Rich, and he has 3 individual questions. I'll start with the first one. Since you've been running the company for a while now, can you lay out some of the issues or items that you think work to the advantage of the company or disadvantage that you may not have understood before taking on the CEO role? And are there any actions that you've taken to address these items?
Geoffrey Gannon: Sure. So there's advantages and disadvantages compared to what I was expecting, I guess, you could say. The advantages are the park management, the GMs, which are much stronger than I expected. However, the degree of autonomy that they had on a couple of measures is lower than I thought, mainly having to do with advertising CapEx to some extent and merchandising purchases of inventory and things. So those were more driven top down, I mean, not entirely, but more top-down than I realized from being on the outside. And so I had attributed more of the concerns about performance of a park or something to thinking that it might have to do with management at that park and just employee morale and how things are working, and that really hasn't been the case nearly as much as I thought. So the people in place at the parks, the teams there are much stronger than I thought. I was also aware that there was not much of a marketing focus at the company, but the extent of that is greater than I realized. I think historically, there's -- I think I'm correct in saying that historically, the company has not had anyone whose primary job was involving area of responsibility being marketing or anything like that. And so to address that, we have made some changes and are in the process of making some changes, which is we are taking on internally some costs that had not been internal costs before, and that hasn't shown up yet in the results, but it will eventually, which is putting together a team of people who have a background in a small team. We're talking like 2 at most 3 people, who have a background in advertising, marketing, things like that, but more than that promotion of the parks, meaning social media, events, general things like that. And so the area in which the company is weakest is promotion of the parks. The area in which it's strongest is operations of the park. It's actually operated quite a bit more efficiently than might be expected. I mean if you look at how far attendance has declined in Georgia and stuff, it's actually a very efficiently operated park to be able to post some of the results that you've seen from that on those kinds of declines. Not many sites could do that. So operations of the parks is better than I thought. Promotion of the park is not as good as I thought. And in the next -- in the off-season really, but in the next like few months, I think that will be an area of real focus is on improving promotion of the parks. And really helping them out in driving more basically footfall to their sites, getting them more people attending them that they can drive the per capitas and the profits the way that they have, but just having more attendance.
Operator: Okay. Terrific. And the second of 3 questions from Rich is if you can speak to whether the plans focused compounding proposed during the proxy fight still apply and anything that you feel no longer makes sense. Rich understands that nothing is cast in stone and this is not intended to be a critique, but more to find out future plans to grow shareholder value.
Geoffrey Gannon: Sure. So in the last quarter, I believe it was last quarter, someone had asked basically a question about sort of the benchmarks of what the model looks like in the industry or for the company, and I kind of laid that out in terms of margin. But I said in that, that actually what's more important in the industry often than margin that people are focused on is basically turns, by which I mean the relationship between revenue and assets. And so the goal is definitely, and you can see this in the financial statements that we have now and hopefully, what we'll be aiming to be doing looking forward. The goal is to drive increases in sales that exceed increases in assets basically. And that -- improving that capital intensity of it is really key. And this relates to the questions about future plans in a case like Aggieland, right? So if you look at Aggieland last quarter, this quarter, if you're seeing increases in attendance and/or revenue of 20%, 40%, while those are not sustainable forever because no attraction is going to grow at rates like that, they do indicate a responsiveness to better promotion of the park to better marketing to different things that could cause sales to grow a lot without causing assets to grow a lot. I think you saw how much of the sales increase at Aggieland dropped to the bottom line. It's not always going to drop at that rate, but I mean, it was at a very -- there was not much of a difference between how much sales increased this quarter and how much EBITDA increased. And you did see there was no CapEx. There will be CapEx in the future, but it's really a question of how much you can grow revenue versus how much you can grow assets. So our concern would be at a park where we don't see a relationship where we think we can increase revenue much more than assets. So what I said about what decisions are made about buying a park, selling a park, et cetera, they're based on expectations of future returns on capital. I think you can see that, that is more of an open question where there is more potential positive outcomes at Aggieland now. They're more within possibility that they could be in the range of possible outcomes than maybe had been imagined by people on the outside. I will say that the increases in Aggieland are actually not unexpected by internal management, like these did not surprise me or some other people at the company based on what was done in the off-season and kind of expectations for what would happen. So it's not a shock that way, but there was no confirming evidence until the season started.
Operator: Okay. Terrific. And then the third and final question from Rich is if you see any value to the company in maybe partnering with local universities that offer wildlife conservation, zoology studies and maybe enhancing exposure for the parks and quality of the operations?
Geoffrey Gannon: Yes. So this is something that's done at the park level, and it is something that we do to some extent already and would like to do more of. The GM at Aggieland is an exotic animal vet, and we do -- it is beneficial to people really anywhere in the area, students that can get out to one of the parks to be able to see, to train, to work with vets who are able to interact with exotic animals. They're not that common. And in some parts of the country, there's not many exotic animal vets. It's actually an issue that we have at some parks more so than others that we don't have a lot of choices in terms of who can kind of attend to the parks' needs that way because we don't have a vet on staff doing that. That's someone that you hire for with the exception, like I said, of Aggieland where you have someone who's both a vet and also running the business. So it's something that we do and want to do more of. We do some fundraisers and things like that for things, and it would make a lot of sense to have that be both animal focused and community focused. Those are kind of the 2 things for the company. We have raised money at times or partnered with animal causes that are more across the globe. And we've also had community things that have nothing to do with animals, but the best partnerships, of course, are any time that we can have a conservation wildlife zoology, any of those things that are somehow tied to the local area. The one where that possibility is strongest is, of course, in Aggieland because you have Texas A&M there, and that's very possible. But that's something that we'd be happy for any of the GMs and any of the parks to develop more of over time. But there is some of it going on already.
Operator: And with that, that concludes the questions that have been submitted in advance. As of right now, I do not see any additional questions that are coming in across the Zoom. So I don't know, Geoff, if you have any final remarks that you'd like to include to wrap things up.
Geoffrey Gannon: No, I don't have any remarks other than to say that the main thing that I focus on from -- just because we got a lot of questions about price type things is I would reinforce the idea that it's important to look at the relationship between revenue and attendance to think in terms of per capita instead of just going to the website and checking what the ticket price is. I think that's a much better indicator for that going forward. And so I would hope that people look more at that kind of per capita type number than just the ticket price number. And I probably should have guided more towards focusing on that number in past calls, but it's not really something that came up.
Operator: All right. Well, terrific. Well, with that, that concludes our call for today. We want to thank everyone for dialing in and for your interest in Parks America, and we hope that you have a wonderful afternoon. And on that, we will be concluding the call.